Operator: Thank you for standing by and welcome to the Seer Fourth Quarter and Full Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator instructions] As a reminder today’s call is being recorded. I would now like to hand the call over to your host, Ms. Carrie Mendivil with Investor Relations. Please go ahead.
Carrie Mendivil: Thank you. Earlier today, Seer released financial results for the quarter and year ended December 31, 2022. If you’ve not received this news release or if you’d like to be added to the company’s distribution list, please send an e-mail to investor@seer.bio. Joining me today from Seer is Omid Farokhzad, Chief Executive Officer, President, and Chair; and David Horn, Chief Financial Officer. Before we begin, I’d like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward Looking Statements in the press release Seer issued today. For a more complete list and description, please see the Risk Factors section of the company’s quarterly report and Form 10-K for the year ended December 31, 2022, and in its other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is only accurate as of the live broadcast, March 2, 2023. With that, I’d like to turn the call over to Omid.
Omid Farokhzad: Thanks, Carrie, and thank you everyone for joining us this afternoon. Let me start by thanking our team for the huge strides we made in 2022 and for their ongoing commitment focus on hard work to support our growing customer base. I will begin our call today with a review of our accomplishments and performance over the past year, and then I’ll share our core focus areas to drive growth in 2023 and beyond. Then I will turn the call over to David to provide more details on our financial results and revenue outlook for 2023. This was the foundational year for Seer as we pushed the boundaries of what is possible to provide access to large scale deep unbiased proteomics. We made important strides during our first year of broad commercial release at a Proteograph Product Suite. We shipped 22 instruments and more than doubled the number of instruments compared to 2021, bringing our cumulative instrument shipped to 39 as of December 31, 2022. We established our Centers of Excellence program to accelerate the adoption of unbiased deep proteomic at scale by enabling access to the Proteograph Product Suite through providers across North America, Europe, and Asia. We continued to broaden our intellectual property portfolio and ended the year with more than 125 patents issued and pending, representing approximately 7,500 claims. This culminated in $15.5 million of revenue in 2022 more than doubling our 2021 revenue of $6.6 million with a growth rate of 134%. And importantly, we remain well capitalized with approximately $426 million on our balance sheet and no debt outstanding. I’m confident our balance sheet will fuel our growth to become the definitive tools leader in proteomics, while we operate the lean and efficient organization over the coming years. Seer has the most differentiated technology to change the trajectory of proteomics. I have never been more bullish about our opportunities than I am today. In 2023, we will continue to execute across our four core focus areas. One, enabling breakthrough discoveries with the Proteograph Product Suite; two, demonstrating the power of our technology; three, catalyzing new applications and markets; and four, expanding our industry-leading team. Starting with our first objective on enabling breakthrough science with the Proteograph Product Suite. We’re excited to see our more established customers ramping their use of our technology with an increasing interest in larger studies ranging from hundreds to thousands of samples and achieving an unprecedented depth of coverage at a scale that was impossible just two years ago. In fact, in January, one of our multi-omic liquid biopsy customers, PrognomiQ announced early results from what they believe to be the largest deep multi-omic study to date. This study demonstrated the power of diverse molecular biomarkers to improve the sensitivity and specificity in the early detection of cancers across 1,031 subjects comprised of 371 cancer and 670 non-cancer samples. It combined deep unbiased proteomics data generating using the Proteograph Product Suite with metabolomics, lipidomics, fragmentomics, methylation and transcriptomics to drive a first of its kind large-scale multi-omic study. They’re expecting to present their data at upcoming conferences in the first half of the year. The success of this study in identifying multi-omics markers that differentiate between cancer and controls catalyzed the launch of a 15,000 subject perspective clinical program, which has already enrolled its first patient. Prior to the launch of the Proteograph Product Suite, the largest deep unbiased plasma proteomic study was just 48 samples. Now, we know of multiple studies of thousand or more samples that have been run using the Proteograph. This progress shows how far we have come in just two short years of commercial availability of this product. We believe the existing completed thousand plus subject studies and PrognomiQ’s planned 15,000 subject study has major implications on the field representing a series of step function change in deep unbiased proteomics and what has become possible for the future of deep multi-omic studies. Another example of novel biological insights drive from the Proteograph comes from Dr. Jon Brudvig, an Assistant Professor of Pediatrics at the University of South Dakota; Stanford School of Medicine, and a member of the Pediatrics and Rare Disease Group at Stanford Research, Dr. Brudvig is working to develop a better understanding of Batten disease and develop novel therapeutic strategies. Batten disease is a family of rare lysosomal disorders caused by mutations in one of at least 13 genes, which encode a diverse set of lysosomal and extralysosomal proteins. There are a variety of gene mutations, signs and symptoms that range in severity and progress, including progressive vision loss, leading to blindness, seizure, moving disorders and dementia. Despite decades of research, the development of effective therapies has remained intractable. For some slow processing disease like CLN3, Batten, small animal models, fully recapitulate patient phenotypes required the focus on large animal models. Unfortunately, immunodepletion is simply not feasible for plasma samples, creating a substantial barrier through the interrogation into proteomics for biomarker discovery.
,: We believe that deep unbiased proteomic at scale enabled by the Proteograph Product Suite is necessary to sufficiently access and catalog the proteome, which is vastly more complex than the genome. As this content is cataloged and functionally characterized relative to the genome, novel insights will be generated. These novel insights will fuel clinical applications and create new clinical utility for both genomics and proteomics biomarkers. Customer driven exemplification and data are essential in developing the market. We believe that as more third-party data enters the public domain, the differentiated value proposition of the Proteograph and the novel insights it provides will become more established, accelerating the next-generation of multi-omic studies. We have seen a growing validation of our technology with 19 poster presentations from customers to date. There’s also a steady stream of scientific content coming from Seer including over 100 presentations, posters at conferences and events, and three published high impact papers with a fourth paper accepted and impressed demonstrating the unique performance of our proprietary engineered nanoparticles. We’re seeing increasing interest from genomics researchers who want to access proteogenomic content and are excited about having unbiased access to the proteome so that they can discover novel protein variants and deepen their multi-omic insights to get closer to the phenotype. We’re aware of multiple manuscripts that have been submitted or in the process of being submitted in early 2023 for peer review. I’m excited to be able to share more in the coming months as these submissions run through the peer review process, which of course takes time. In the interim, we will continue to collaborate with our customers to take advantage of opportunities for them to share preliminary data conferences and events as they move from study to analysis and author their manuscripts. Now, turning our attention to our second objective. We’re demonstrating the power of the Proteograph Product Suite as we drive towards the next set of innovations to further extend the capabilities of the technology. In 2022, we published two seminal papers demonstrating the power of nano-bio interactions for deep unbiased access to the proteome that is enabled by our proprietary engineered nanoparticles. These papers demonstrated superior performance of our technology for deep unbiased precise, and scalable proteomics. Our disruptive technologies also being recognized across our industry. Last year, the Proteograph Product Suite was ranked among the Top 10 Innovation for 2022 by The Scientist, and we received the Science and Technology Award from the Human Proteome Organization. We are executing against our product roadmap building on what is already a disruptive product that includes innovations in nanoparticles workflow and analysis. Last August, we released the Proteograph Analysis Suite, PAS 2.0, a proteogenomic workflow that allows for streamlined data analysis of protein variants to genomic variants and paves the way for more genomic labs to leverage unbiased deep proteomics at scale. We have been receiving extremely positive feedback from customers on their ability to easily connect genomic data to proteomic data and assess peptide level disease association. We plan to continue to expand our software and later roadmap for population scale deep proteomic studies. We will introduce multiple tools, feature sets, and workflow for larger study and data sets into our Proteograph Analysis Suite releases in 2023. We also place our next product in the hands of early access customers in late 2022, and we expect to make it broadly available later this year. We have completed testing with multiple sites and are getting positive feedback on the workflow and its new features. The proteome is highly complex with millions of protein variants. This is underscored by a 454,000 subject study published by UK Biobank in Nature, describing over 9 million potential protein variants of which more than 6 million are potentially deleterious across their cohort. On an individual basis, each participant had an average of 9,500 protein variants of which 2,900 what potentially deleterious. Importantly, this does not account for protein variants that are generated because of post-translational modifications or RNA processing to produce protein splice forms. If you add these in, then it significantly increases the number of protein variants, and this is exactly why our technology is important. In a paper accepted and currently in press for publications, we highlight the importance of generating data at the peptide level using the Proteograph Product Suite to allow for the identification of splice form arising from the same gene locus. Our study found that the four known isoform of BMP1 exhibit differential abundance in cases of lung cancer and controls. The single short splice form of BMP1 is more abundant in cancer cases while the three lung splice form of BMP1 are more abundant in controls. It is important to note that affinity based approaches inherently cannot differentiate between splice forms. This peer review manuscript will be published over the coming weeks and the preprint is available currently on bio-archive. Turning to our third objective, catalyzing new applications and markets. We’re continuing to drive progress with our partnerships and expand the applications that can be performed with the Proteograph such as model organisms, animal health, and different bio fluids. At the beginning of 2022, we form the Proteogenomic Consortium with our partners at Discovery Life Sciences and SCIEX, empowering genomics researchers to add deep unbiased proteomic analysis to the large skilled discovery translational and clinical studies at an unprecedented resolution. Discovery Life Sciences has now launched the world-class proteomic services division with a new facility in the Boston area, creating a leading provider for large scale population studies biobank characterization and multi-omic biomarker analysis to support drug and diagnostic development. They’re up and running with multiple Proteograph and mass specs and are ready to receive customer samples. We look forward to continuing to partner with them to co-promote the Proteograph and expand access to new customers as they scaled their business in 2023. Market development is a key part of our focus as we demonstrate the differentiated value of deep unbiased proteomic at scale spanning from discovery to clinical utility enabled by the Proteograph Product Suite. Affinity-based approaches are effective when a known target and a specific epitope measurement is desired and best utilized in low-plex configuration for specific applications, but cannot cover the vast complex here to proteome. Their analogous to microarrays in genomics we’re a specific DNA fragment is used in a targeted or biased manner to confirm the presence of a specific mutation or a single nucleotide polymorphism. The huge gap in the market remains access to the content that reaches the depth and complexity of the proteomics. This content will expand existing end markets and create entirely new end markets and is uniquely enabled by unbiased approaches at scale. We saw a similar end market expansion play out in the genomic space as well with the growing genomics content over the past 15 years. Through our market development efforts, we’re gaining traction with key opinion leaders and expanding our Scientific Advisory Board. We’ve also opened an in-house application lab that is purely focused on expanding the methods and sample types that can be used with the Proteograph. For example, one of the first projects for this lab in 2022 was to assess lower volume sample inputs to enable smaller organism work. We found that starting sample volumes less than 250 microliter still allows higher coverage of low abundant proteins compared to the direct digest workflows. We explored volumes as low as 10 microliter of starting sample while still delivering 68% of the protein coverage with our standard volume, and importantly, we get this coverage across the entire dynamic range. This provides a superior performance method to those looking to study model organisms on smaller size such as mouse. The Proteograph has also been demonstrated in a wide variety of organisms, including plants feline, bovine, canine, and baboon to name a few. The Proteograph is the only commercially available system that can be utilized across species in a decentralized manner. As we mentioned on our last earning call, we recently hosted a joint webinar with Evotec to discuss their data with different human bio fluids using our technology. This webinar highlighted how the Proteograph Product Suite was able to uncover thousands of previously undetectable proteins. During the presentation, Evotec highlighted how the Proteograph enabled unique insight into different sample types including human serum, plasma, cerebrospinal fluid, urine, and cell secret home. This webinar was well attended and generated significant interest. The recording is available on our website. Our technology is inherently extensible. It is species agnostic and is able to analyze biofluids beyond plasma and serum. As we gain momentum in the market, expand the use cases for our technology and pave the way for more adoption of the Proteograph our customer base is growing to spend academic research, translational, commercial, pharma, CROs and even applied markets. Interestingly, we are seeing these customers working across a broad range of applications from cataloging protein variants to proteogenomics, from target identification to multi-omics for complex disease and from biomarker discovery to early disease detection. We are very much at the onset of this journey and I’m excited to see what our customers do next. And finally, we continue to build an industry-leading team as we recruit top talent and expand our global capabilities to support our growing install base. We ended the year with more than 160 employees with most additions in the last year to the commercial organization. Looking ahead, we will continue to drive execution against our core focus areas, enabling breakthrough discoveries with the Proteograph Product Suite demonstrating its power, catalyzing new applications and markets, and continuing to build an industry-leading team. While much work remains, we’re excited and inspired by the opportunity in front of us. I truly believe that we have the technology, the team, and the strategy to bring the next phase in omics to the labs globally. With that, I will now turn the call over to David.
David Horn: Thanks, Omid. Total revenue for the fourth quarter of 2022 was $4.6 million, representing an increase of 50% compared to $3.1 million in the fourth quarter of 2021. The increase in fourth quarter revenue was primarily due to increased consumable an SP100 instrument sales related to our Proteograph Product Suite, the completion of service projects and lease revenue related to our SP100 instruments. Product-related revenue for the fourth quarter of 2022 was $3.2 million, including related party revenue of $1.7 million and consisted of sales of SP100 instruments, consumable kits and platform evaluations. Service revenue was $708,000 in the fourth quarter of 2022 and was primarily derived from a significant project completed for a large multinational corporation. As we have mentioned previously, we will continue to be strategic in undertaking certain service projects for customers that we ultimately believe will lead to purchases of the Proteograph. Grant another revenue was 745,000 in the fourth quarter of 2022 as expected contributions from grant and research related collaborations were resumed beginning in the fourth quarter as our SBIR grant from the NIH was renewed in the third quarter. The grant period will run through May of this year. In addition, we recognized revenue from leased agreements related to the placement of our instruments in the fourth quarter. Total gross profit was $2.3 million for the fourth quarter of 2022, representing a gross margin of 49.8%. Our gross margins were in line with the prior quarter as a result of higher consumable sales in the fourth quarter offset by overhead allocations. We expect to see variability in our overall gross margin on a quarter-by-quarter basis as the proportion of instrument and consumable sales will fluctuate between any given quarter. We continue to expect our long-term gross margins to be between 70% and 75%. Total operating expenses for the fourth quarter of 2022 were $27.2 million, including $8.2 million of stock-based compensation compared to $21.3 million, including $6.7 million of stock-based compensation in the fourth quarter of 2021. Research and development expenses for the fourth quarter of 2022 were $12.6 million, an increase of 54% compared to $8.2 million in the fourth quarter of 2021. The increase in R&D expenses was primarily due to an increase in product development efforts related to the Proteograph Product Suite, including employee compensation costs due to growth in R&D personnel and expenses associated with the build-out of our facility. Selling, general and administrative expenses for the fourth quarter of 2022 were $14.6 million, an increase of 12% compared to the $13.1 million in the fourth quarter of 2021. The increase in SG&A expenses was primarily driven by greater employee compensation expenses due primarily to growth in personnel for our global commercial organization. Net loss for the fourth quarter was $22.5 million compared to $19.7 million in the fourth quarter of 2021. Turning to the full year. Total revenue for the full year 2022 was $15.5 million compared to $6.6 million in 2021. Representing growth of 134% year-over-year. Product related revenue was $13.8 million compared to $5.9 million in 2021. The increase in revenue is primarily attributable to increased sales of products related to the Proteograph Product Suite and primarily consisted of sales of the Proteograph SP100 instrument consumable kits and platform evaluations, of which $5.2 million was attributed to related parties. Service revenue was $913,000 for the full year 2022 compared to $500,000 for the full year 2021. Revenue related to grant and other revenue was $808,000 in 2022 and consisted of our grant funded activities related to our SBIR grant from the NIH and lease revenue related to our SP100 instruments. As we meet highlighted, we shipped 22 SP100 instruments in 2022, more than doubling our instruments placed year-over-year and bringing our cumulative shipments to 39 instruments as of December 31, 2022. We continue to see a mix of commercial and academic customers with the majority of placements continuing to be with commercial customers at this stage. Last year was our first year of broad commercial release and our emphasis was on providing access to the Proteograph and allowing customers to experience the power of deep unbiased proteomics at scale. Given the disruptive nature of our technology and the broad macroeconomic uncertainty, we experienced an elongated sales cycle for the placement of our Proteograph SP100 instruments. However, a subset of these perspective customers chose to pursue their studies through a service project and for our existing and new customers that did adopt the Proteograph we experienced higher than anticipated pull through of consumables since they ran significant sample sets. In addition, our Centers of Excellence proof to be valuable partners in providing access to the Proteograph for select customers who want to access the technology through an outsource service model. Finally, as I mentioned, we selectively entered leasing arrangements in the fourth quarter that also help customers adopt the Proteograph more rapidly. During these early days of commercialization for our first of its kind product and while we wait for customer data to be published, we will continue to work to reduce the hurdles for adoption, including access through our Centers of Excellence in the Proteogenomics Consortium. For new customers, while encouraging increased utilization and pull through for our existing customers. Total gross profit for the year was $7.1 million, representing a gross margin of 45.8%. Full year gross margins benefited from strong consumable kit sales platform evaluations, service projects, and grant revenue. Total operating expenses for 2022 were $104.3 million inclusive of $33.7 million in stock-based compensation compared to $74.9 million inclusive of $25.9 million in stock-based compensation in 2021. Research and development expenses for 2022 were $45.8 million compared to $29.1 million in 2021. SG&A expenses for 2022 were $58.5 million compared to $45.8 million in 2021. The increase in R&D expense was primarily due to an increase in product development efforts related to the Proteograph Product Suite including $10.3 million in employee compensation costs and other related expenses, including stock-based compensation due to growth in R&D personnel and a $4 million increase in allocated overhead related to the allocation of facility expense associated with the build-out of our facilities to support our R&D efforts. The increase in SG&A expense was primarily due to an $8.3 million increase in employee compensation and other related expenses including stock-based compensation, mainly due to growth in personnel in our commercial organization. Net loss for 2022 is $93 million compared to $71.2 million in 2021. We ended the year with approximately $426.4 million in cash, cash equivalents and investments with our extremely strong balance sheet in discipline deployment of capital, we believe we are well funded to execute on our strategic plan for many years to come. Turning to our outlook for the year, we expect revenue to be in the range of $23 million to $25 million for 2023, representing significant year-over-year growth of 48% to 61%. Similar to this past year, we expect revenue to be more weighted to the second half of the year. We continue to see challenges in the macroeconomic environment globally and continued limited customer access and certain geographies such as China that is elongating customers purchasing decisions, especially as it relates to new disruptive technologies like the Proteograph. That said, we continue to see strong interest in the Proteograph and its value proposition for customers, which is reflected in our robust revenue growth outlook for 2023. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thanks, David. I’m extremely proud of the Seer team and our accomplishments over the past year. We’re seeing fantastic data being produced by our customers across the range of applications. Looking forward to 2023, we will continue to drive executions against our core strategies. And with that we will now open it up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Derik De Bruin of Bank of America. Your line is open.
Derik De Bruin: Hi, good afternoon. Thank you for taking my questions. I guess the first one is David, can you just sort of give us some color on your cash burn and OpEx outlook for this year and how should we think about it? I mean, I know you’ve got you basically saying you’ve got three years of cash on it, but just any sort of like commentary be helpful.
David Horn: Sure, Derik. So as you’ll see when we file our 10-K and what we really track is our free cash flow operating cash flow plus CapEx. You’ll see at the $71 million in 2022. We expect it to be in a similar place for 2023 as well.
Derik De Bruin: Got it. And I’m sort of curious, if you look at the product revenue x the related party, it’s actually down year-over-year, quarter-on-quarter. Can you just sort of talk about the dynamics and how much of that, what’s – I guess just sort of what is going on there? I just was surprised to sort of see it down on that sense, and how much of that shifted to – how much of the stuff you thought was going to be product shifted to services and just a little bit dynamics because as said, just not sure how to model that, product x third-party revenue, related party revenue line for it this year.
David Horn: Yes, Derik appreciate the question. So, I think the way to think about it is again, we look for our growth globally, I mean annually, and we certainly feel like from quarter-to-quarter the composition of that, overall number is going to change just each quarter will be a little bit different. I think what we saw in the fourth quarter was more from – more some of that revenue moved into service. As we also mentioned, there was some lease revenue, that’s included in grant and other and so, and then related party had a little bit more. So, I think overall the composition was a little bit different. But I think we still feel good about, the overall momentum we have in terms of providing access. Because really what we’re trying to do, is get people access to the technology, whether that’s purchasing outright using it through a service model or potentially doing a kind of a lease arrangement of some sort. So again, I think we’re going to continue to see fluctuations, Derik, but again, I think as we look year-over-year obviously we’re looking for some nice growth on an annual basis.
Derik De Bruin: Got it. And just one final one if I may. Just thinking the total instrument number for the year came in a bit below where the consensus number was, I think it was around 29 instruments and on Visible Alpha. So implying that when we look at the product revenue, it’s significantly higher consumable pull through on it. Can you just give us some sort of general sense on the consumables that are and average pull through that’s going on? Just sort of like where that’s ramping? How that’s ramped for the year and sort of see, what you sort of see that, how that sort of like goes through next year?
David Horn: Yes. So again, I think on the instrument placements, as we’ve been saying, we are seeing an elongated sales cycle. So, I think that was a partial contributor. Obviously, I think on the flip side, we did see nice consumable pull through on that. And so, again that kind of made up for the shortfall, in instruments relative to consensus. And so again, I think it’s something we’re continuing to try and help people, gain access to the technology. Some of that was gained through some of these service projects. We do think those will ultimately lead to purchases, outright purchases. But again, I think just given this as our first year of commercialization, just the dynamic and the uncertainty in the back half of the year macroeconomically and with some budgets, it kind of, shifted some of the timing of that. But I think the good news is, we continue to see good pull through for those that do have the instrument.
Derik De Bruin: Thank you very much.
David Horn: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Dan Brennan of Cowen. Your line is open.
Kyle Boucher: Hi good afternoon. This is Kyle on for Dan. I just want to start on the guidance here. Your guidance, brackets the consensus and given the elongated sales cycle, could you maybe break down the key drivers here, like the split between instruments and consumables and sort of how you’re thinking about that through the year?
David Horn: Yes, thanks Kyle. I think we’ll have a pretty consistent from those, again from those who do have it nice pull through and again, I think we’ll see as we saw this year, the majority of revenue being consumable revenue. And so again, I think the pull through has been pretty healthy. And so, we’ll continue to try and help customers drive those larger sample projects and really help that pull through in 2023.
Kyle Boucher: Got it. And then on the commercial side for the commercial team, how much more do you think you need to expand headcount? Or do you feel like you’re pretty right sized right now for the current scale of the company?
Omid Farokhzad: Yes. Look, this is Omid. As we’ve said, the commercial organization is going to continue to expand as we’ve got access to the product globally. So that’s going to continue. Our commercial organization, which is our marketing, sales and support, is roughly a little bit more than a half of our total SG&A. And that’s going to continue to grow. The pace of growth for us is to keep headcount about one or two quarters ahead of need. So just try to hire ahead a bit and to continue that momentum as needed.
Kyle Boucher: Got it. Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Tejas Savant of Morgan Stanley. Your line is open.
Tejas Savant: Hey guys, good evening. Thanks for the time here. Maybe David, one for you to kick things off sort of similar to what Derik was asking earlier. As we think about that $24 million at the midpoint of the guide, how much of a revenue contribution are you expecting from PrognomiQ in there? And I know you also mentioned the NIH grant, which runs out in May, if any guardrails around that. I’m assuming that’s a lot smaller than PrognomiQ, but just curious as to what the contributions are that are baked in at the midpoint?
David Horn: Sure. So in terms of PrognomiQ, Tejas, I’m sure you’re aware that they completed their thousand sample study in their kicking off their 15,000 sample prospective study. So, we expect for this year for them to be pretty consistent, pretty steady with where they’ve been historically. We may see some small fluctuations quarter-to-quarter, but I think overall for the year, they’re going to be pretty steady in just in terms of where they have been in terms of dollars. So that’s really the assumption around PrognomiQ. Again, there may be some time shifting from quarter-to-quarter, but overall for the year we expect them to kind of be in a similar place. And then on the grant revenue, it’ll run, we should recognize it through the second quarter. We may choose to try and renew it and get some additional grant revenue, but I think you can assume it’s pretty minimal. Just so you know most of that revenue in grant and another was related to the lease agreements this quarter.
Tejas Savant: Got it. That’s helpful. And then David you mentioned sort of the phasing being a little bit backend loaded similar to this year. So are you sort of pointing to essentially a 40/60 split? Is that fair? Or could it be a little bit more even than that?
David Horn: No, I think that’s, that’s fair Tejas. That’s kind of how we’re thinking about it.
Tejas Savant: Got it. Okay. And then in terms of just on the ground situation in China, given the surgeon COVID cases and the subsequent sort of reopening are you baking in at the midpoint, a normalization in the back half of the year, or not really?
Omid Farokhzad: Yes, Tejas, our assumption is that our access to China is going to continue to be constrained from an assumption perspective. We just have no visibility. I mean, we would’ve thought that with the opening that access would free up and we certainly didn’t see that. So, we’re going to continue to be a bit guarded about our view of access in China. And so the assumption assumes that the status quo will continue for the year.
Tejas Savant: Got it. Okay. And then last one for me, you’re on the Proteogenomics Consortium. You said you’re now – they’re now open to receive samples from customers. How are you thinking about the ramp through the year here? Obviously I think in the past you’ve talked about, potentially a 100,000 samples a year, but just walk us through the cadence of the ramp here, and then on the Center of Excellence side help us dimension, the size of that contribution of you can Omid, in terms of the guide.
David Horn: Yes, let me take the Proteogenomics Consortium and then Omid can do the Centers of Excellence. On the PGC, you’re correct, Tejas, the ultimate goal is a 100,000 samples annually. Certainly it’s going to take them a few years to get that. And so this year we are assuming a pretty modest ramp. As you know, they said they are open for business, and so they’re working through, going out with their marketing efforts and doing a great job. They’ve been a great partner. But again, we’re tending to be pretty modest in terms of that contribution this year as they kind of see the demand out there. I think they certainly see it. And again, this is part of the overall DLS proteomic services group, which offers a full range of proteomic services. And so, but again, we’re super excited about what they can do in terms of the Seer platform and unbiased proteomics. But we’ve been relatively modest assumptions around this year in terms of actual sample volumes.
Omid Farokhzad: And then Tejas, building on the Proteogenomic Consortium kind of I’m thinking more broadly about our COEs. I mentioned the Evotec webinar. So they’re getting started. They’re getting up and running. They’ve now done customer projects going forward. Again, I think that you should assume in terms of sample number volume, something in the neighborhood of maybe 5% to 10% of our of revenue this year is going to be services. And for the most part, we are not in the services business model. So, you can assume a lot of that is going to come from our COEs. Now, on occasion for strategic reasons, we may do a service contract. In fact, Q4 is a good example of that. And you can, you saw that in the revenue breakdown that we did do a service contract. Now just in the case of that particular example, and I don’t think that’s going to be the case in every example, that particular customer is now in discussion with us to take an instrument in house. So, we may do a service from a Seer perspective. Strategically, the balance of those service revenues, you can assume is coming from our COEs.
Tejas Savant: Very helpful. Thanks guys.
David Horn: Thank you, Tejas.
Operator: Thank you. I’m showing no further questions at this time. I’ll turn the call back over to Omid for any closing remarks.
Omid Farokhzad: Thank you all very much. We look forward to keeping you up to date.
David Horn: Thanks so much everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference. Thank you all participating, you may now disconnect. Have a great day.